Operator: Good morning. My name is Liandra, and I will be your conference operator today. At this time, I would like to welcome everyone to the Ingersoll Rand Third Quarter 2017 Earnings Conference Call. [Operator Instructions] Mr. Zac Nagle, Vice President of Investor Relations, you may begin your conference. 
Zac Nagle: Thanks, operator. Good morning, and thank you for joining us for Ingersoll Rand's third quarter earnings conference call. This call is being webcast on our website at ingersollrand.com, where you'll find the accompanying presentation. We're also recording and archiving this call on our website.
 Please go to Slide 2. Statements made in today's call that are not historical facts are considered forward-looking statements and are made pursuant to the safe harbor provisions of federal securities law. Please see our SEC filings for a description of some of the factors that may cause our actual results to differ materially from our anticipated results. This presentation also includes non-GAAP measures, which are explained in the financial tables attached to our news release. 
 The participants on this morning's call are Mike Lamach, Chairman and CEO; and Sue Carter, Senior Vice President and CFO.
 With that, please go to Slide 3, and I'll turn the call over to Mike. 
Michael Lamach: Thanks, Zac, and thank you, everyone, for joining us today. I'll start this morning by discussing how focused execution of our strategy underpins our ability to deliver sustainable, high levels of performance over time. I'll also provide comments on how we're thinking about our business and our end markets broadly as we closeout solid performance in 2017 and move into what we expect to be another strong year in 2018. Sue will discuss our third quarter performance in more detail, and address some key topics we know that are on the minds of investors. And I'll then close with a brief summary before we take your questions.
 As I said on prior calls, our overall strategy remains straightforward. We believe our business operating system, people and culture are source of competitive advantage. First, our business strategy is grounded in anticipating and addressing global trends that positively impact many of the world's most pressing, sustainability challenges. We focus on delivering the most reliable, energy-efficient and environmentally friendly products and services in durable growing markets. In our case, it's an orientation toward the importance of sustainability, which is enabled by digital and other exponential technologies growing at dramatic rates that are enabling new business models and sources of productivity in a world that will increasingly value the conservation of resources.
 We excel at delivering energy efficiency and reducing greenhouse gas emissions, reducing food waste, preserving natural resources and generating productivity for our customers. It's what we do and it's what we're known for. We maintain a healthy level of investment in our businesses to sustain leading brands, which are #1 or #2 in virtually every market in which we participate. Second, we excel at delivering strong top line, incremental margins and free cash flow through our business operating system. Our business operating system is continuously improving and underpins everything that we do. It enables us to consistently generate high levels of free cash flow, which powers our dynamic capital allocation strategy.
 One example of our capital allocation strategy is the acquisition we entered into this week that strengthens our telematics portfolio, an important component of our connected technology strategy. Sue will cover this within topics of interest later in our call. Our year-to-date results continue our strong track record of performance and position us well for a solid finish to 2017 and strong momentum going into 2018. Sue will discuss the details of the quarter in a few minutes. So I'd like to turn my attention to discussing where we are at this stage in the year and how we're thinking about key aspects of our business going forward.
 Moving to Slide 4. We're going to follow the format we started last quarter and discuss how 2017 is shaping up relative to our expectations, so you get a feel of how the landscape is evolving. I'll touch on some of the areas that may read through to 2018 as we're in the midst of our 2018 planning now, but I want to be clear upfront that we'll give 2018 guidance with our Q4 earnings call, so not going to go into any specific detail and targets at this time.
 I know 2018 is on many investors' minds, but it's important for us to complete our planning process in order to provide you with a high-quality discussion on 2018 that we all expect. I'll hit the key areas that are most important to investors in order to keep the discussion focused, so if we don't hit something here, we'll cover it in the Q&A session.
 The first point I'll make is probably the most important. We are on track to deliver against the revenue, adjusted EPS, free cash flow and capital allocation guidance that we set out at the beginning of the year. We're using all the tools in our business operating system to get there and given evolving market dynamics, it is a bit different than what we envisioned when we gave guidance back in January. I'm proud of the way our team has pulled together in some challenging market conditions to achieve these goals, which should yield strong revenue growth of about 4.5%, 9% EPS growth and free cash flow of approximately $1.2 billion.
 In 2017, orders and revenues had been consistently strong, our end markets on balance have been solid and the outlook for the markets continues to be healthy, looking into 2018. Our HVAC businesses are performing well and will have a strong order and margin expansion in 2017. Our Transport business is demonstrating the resiliency we expect with a modest decline in revenues and margins despite challenging markets. Our Industrial business is recovering nicely with order growth and margin expansion ahead of our expectations. There are a lot of things working well for us.
 One area that we're not satisfied with and we expect to improve on in 2018, is our operating leverage. Our business model is rooted in our ability to drive margin expansion in low growth environments and we did not make enough progress expanding incremental margins for the enterprise in 2017. We were negatively impacted by a few key factors in 2017 including higher-than-expected and persistent inflation, mix of business as we penetrated underserved Commercial HVAC markets, most notably in China, which at present carry lower gross margins in our portfolio average, but still are accretive to our EPS. This business is particularly accretive when you add in the highly profitable service tails from applied equipment sales in the mid- to long-term.
 The way our bridges on price versus cost are compiled, the impact in moving into these newer markets shows up as price although some would probably categorize this as business mix. Rather than confuse anybody, we've kept the designation in price consistent for all of 2017, but I believe it is worth noting this distinction as it has a pronounced impact in how our price versus cost spread shows up in the bridge. We're seeing better than expected success in these markets from China with approximately 20% order growth year-to-date and low 30s order growth in the third quarter. This is putting increased pressure on climate and enterprise margins as China is experiencing the impacts of both negative price and inflation, whereas the majority of our businesses are seeing positive price.
 We're in the process of developing our 2018 operating plan, and we're focused on accelerating productivity initiatives to drive higher leverage in 2018 and beyond. Increased focus here will drive more direct control of our margin expansion irrespective of market conditions. We're also seeing inflation moderating in 2018 as we begin to lap the inflation we saw throughout 2017, so we should see reduced headwinds here. Similarly on the China market penetration strategy, we begin to lap the lower gross margins for those markets in 2018, so we anticipate the pressure on leverage in the region moderating as well.
 Moving through the update. Year-to-date, our end markets continue to perform well with strong broad-based orders in revenue growth. Our outlook is for our end markets to remain healthy through at least 2018. Execution across the business continues to be solid. The tragic, unprecedented natural disasters in the third quarter took a toll on our 750 associates in Puerto Rico, our customers and more broadly, on our markets. Our thoughts are with our employees, their families and of all the lives that were impacted by these terrible tragedies.
 Financially, these natural disasters had an impact on us in the third quarter. We estimate that the impact was between $0.04 to $0.05 of EPS when you take into account downtime in our Thermo King, Puerto Rico manufacturing facility, the disaster release funds we provided to assist our employees and the 3 days of lost sales and productivity and 2 of our largest HVAC markets in Florida and Houston.
 Slide 6 lays out the main impacted areas, and Sue will cover these in more detail in a few minutes. We think we'll see some recovery in the fourth quarter and in 2018, and there likely will be additional market opportunities over the next 1 to 3 years as building occurs in the affected geographies. So laid out earlier, the impact of our strategy to compete in new markets in Asia and the Middle East is driving exceptional growth for us in these markets, but the impact to leverage and the price versus cost equation was significant in the quarter. Again, we see these areas improving as we move into 2018, as we lap 2017 inflation and gross margin headwinds. We're also driving aggressive productivity plans for 2018 to expand margins.
 The next topic is on price versus cost, as we see it at this stage in the year. Things are shaping up fairly consistent with what we expected coming out of the second quarter earnings call. Pricing remains positive in both Climate and Industrial. The areas that are impacting our price versus cost equation across both Climate and at the enterprise-level, are predominantly emanating from Asia and to a lesser extent, the Middle East as we previously outlined.
 With regard to our Industrial segment, this segment has been performing well in 2017 and ahead of our expectations. We've seen strong bookings growth and margin expansion in the segment. And the last topic, is an update on our Climate businesses broadly. Commercial HVAC equipment businesses remain strong with high single digit order growth in Q3. Our Commercial pipeline and outlook continue to show healthy markets going forward. Our Residential and Transport outlooks are also on track with our expectations.
 Focused execution of our strategy will deliver strong performance over time, and we're excited about the opportunities that lie ahead in 2018 and beyond. I hope that this has given you some important insights on how our outlook has evolved through this point in the year. And now I'll turn it over to Sue to discuss the third quarter in more detail. 
Susan Carter: Thank you, Mike. Please go to Slide #5. I'd like to begin with a summary of main points to take away from today's call. As Mike discussed, we drove solid operating and financial results in the third quarter with adjusted earnings per share of $1.44 despite business disruptions from natural disasters in the quarter negatively impacting results by approximately $0.04 to $0.05 per share.
 Our adjusted tax rate was 17.7% driven by the timing of a number of tax planning-related discrete items that hit in the third quarter that were expected in the second half of 2017. We continue to expect our full year 2017 adjusted tax rate to be approximately 21% or the lower end of our previous range. Bookings growth was strong with growth in both segments and in every strategic business unit. On the Climate side, organic bookings were up mid-single digits in both Commercial HVAC and Transport, and up low single digits in Residential with another quarter of share gains. We also drove high-teens Commercial organic bookings growth in Asia and Europe, Middle East and Africa. Climate organic revenues were also higher, up 3% in the quarter.
 Our Industrial segment continues on a path of steady improvement and is actually performing a bit better than our guidance with strong organic bookings growth of 5% overall. Compression Technologies had growth across small and medium compressors and particular strength in large compressors. We also drove a 90-basis-point improvement in adjusted operating margins on essentially flat revenues. Flat revenues were also better than our expectations given difficult compares versus Q3 of 2016 as we discussed on our second quarter call.
 In January, we laid out our capital allocation priorities for 2017, including spending approximately $430 million on dividends and an additional $1.5 billion on a combination of share buybacks, and acquisitions and we're on track to achieve those priorities. We also discussed our objective to grow our dividend at or above the rate of our earnings growth. In August, we raised our dividend by 12.5% to an annualized rate of $1.80 per share. Year-to-date through October, we've spent $1 billion on share buybacks and $318 million in dividends. We also spent or entered into commitments for approximately $200 million in acquisitions.
 Please go to Slide 6. During the third quarter, we saw positive and negative financial impacts from natural disasters, primarily the hurricanes that hit the Caribbean, Florida and Texas. We saw increased commercial rental activity and increased part sales in the third quarter. Offsetting the positive financial impacts, shipments for Transport in our Puerto Rico facility, residential and small electric vehicles were also delayed and our businesses were down for several days resulting in lower absorption, productivity and other additional costs. We expect to regain some of the deferred business in the fourth quarter and we are currently assessing the potential impacts for 2018. If the recovery from these storms follows past experience, we'd expect to see an overall strengthening in the underlying markets in the impacted areas over time rather than a spike of activity in any given month.
 Please go to Slide #7. The focused execution of our business strategy underpinned by our business operating system enabled us to drive solid year-over-year financial performance. Organic revenues and adjusted earnings per share increased 2%. Adjusted operating margins declined 40 basis points year-over-year, impacted by the $0.04 to $0.05 earnings per share headwinds from natural disasters. As Mike discussed earlier, our strategy of penetrating very large underserved markets in China in Commercial HVAC is resulting in strong bookings growth with China Commercial HVAC up low 20s percent year-to-date and up low 30s percent in Q3. In the short term, the negative impact of this growth is approximately 55 basis points of margin contraction at the enterprise-level in Q3 although still accretive to our earnings per share year-to-date and it is expected to represent 75% of the negative price-cost spread for the full year 2017.
 Please go to Slide #8. As we've discussed, organic orders were strong in the third quarter with increased activity in both our Climate and Industrial businesses. Organic Commercial HVAC bookings were up mid-single digits. Q3 2017 North America bookings were up low single digits. Outside of North America Commercial HVAC, bookings were broad based with high-teens growth in EMEA and Asia, and mid-teens growth in Latin America. Transport organic bookings were up mid-single digits with gains in North America, Latin America and Asia. Bookings growth span the product portfolio with gains in trailer, truck, bus, aftermarket, APU and Marine. Industrial organic bookings were up 5% in the quarter with growth across all Industrial businesses. Regionally, North America and Asia bookings gains were offset by declines in Latin America and Europe, Middle East and Africa.
 Please go to Slide #9. In our Climate segment, organic revenue was up low single digits in North America, up mid-single digits in Europe and up low teens in Asia. Globally, equipment was up low single digits and aftermarket was up mid-single digits. In our Industrial segment, organic revenue was down 1%. We had large compressors shipments in Q3 of 2016 that did not repeat this year. Regionally, we saw a low single-digit growth in North America and Latin America. In our Compression Technology business, North America was up low single digits in parts and services. Industrial Products were up mid-single digits and Club Car had high single-digit growth with continued success in Onward personal vehicles. Overall, North America and international revenues were up low single digits, netting a 2% organic growth rate for the enterprise.
 Please go to Slide #10. Q3 adjusted operating margin declined 40 basis points, primarily driven by volume, productivity improvement and positive price, more than offset by natural disasters as previously discussed, and material inflation including the negative impact of price versus costs largely driven by our penetration of underserved markets in China and competitive pricing in the Middle East. The impact of China and the Middle East were greater than we anticipated earlier in the year driven by higher volumes and forecast, and higher-than-expected material inflation, which widened the negative price-cost spread. Outside of these markets, the price versus cost spread was largely in line with our expectations.
 Please go to Slide 11. We covered the main points from this slide on prior slides. Performance in the quarter was strong on bookings and revenues. Excluding the natural disaster impacts in Climate, margins would have been roughly flat. Margin declines largely attributable to our China strategy and the negative price versus cost spread in the Middle East, which combined, were approximately negative 65 basis points.
 Please go to Slide 12. We've also covered the highlights of this slide on prior slides. Our Industrial business continues to outperform our expectations and deliver strong improvement in bookings and margins on relatively flat revenues. Our continued focus on improving the fundamental operations of the business is yielding good results.
 Please go to Slide 13. Free cash flow was $408 million for the third quarter driven largely by strong profits. Working capital as a percentage of revenue remains on track to our expectations for 2017. Our guidance for free cash flow remains unchanged at $1.2 billion. Additionally, our balance sheet continues to strengthen, which provides optionality as our markets continue to evolve.
 Please go to Slide 14. Continued strong cash flows in 2017 is powering our dynamic capital allocation strategy, employing capital where it earns the best returns. In January, we laid out our 2017 capital allocation priorities and they remain unchanged. Our first priority is making high ROI investments in our business to drive productivity and to maintain our product leadership position. The secondary is maintaining a strong balance sheet with BBB ratings and healthy optionalities as our markets evolve. The third area is our commitment to paying a highly competitive, reliable dividend that grows at or above the rate of earnings growth over time. The fourth priority is strategic acquisitions and share repurchases.
 In January of this year, we committed to spend $1.5 billion between these 2 areas and we're on track to achieve these commitments. Year-to-date, we spent approximately $1 billion on share repurchases and approximately $200 million has been spent or committed to acquisitions. By the end of 2017, we expect to have approximately $400 million to $500 million spent or committed for acquisitions. As we look forward to 2018 and beyond, our overarching strategy and priorities remain the same.
 Please go to Slide 15. For 2017, we're maintaining our revenue, earnings per share and cash flow guidance. For modeling purposes, we also wanted to provide tax rate guidance, which should come in at the lower end of our previous range or approximately 21%. For the full year, we expect fully diluted shares to approximate 258 million based on share repurchases in 2017.
 Please go to Slide 17. We've received positive feedback on the section covering key topics we know are of interest to you in our prepared remarks. So we'll cover a few of these topics on the next couple of slides. The first topic is HVAC order growth in the third quarter. Our HVAC markets remain very healthy. In the third quarter, orders were higher in all of our major geographic regions. We had especially strong order growth in overseas markets up by high teens. North America Commercial HVAC continue to see good order growth against difficult comparisons with 2016.  Residential HVAC orders also improved compared with record activity last year and the business continues its steady market share improvement.
 Please go to Slide 18. The last topic for today is the acquisition pipeline. As previously discussed, we're expecting to close on or have signed agreements on approximately $400 million to $500 million in acquisitions in 2017. We are focused on channel and technology investments that add to our existing core businesses. Most recently, we entered into an agreement to acquire a telematics company. This acquisition will complement our 2015 acquisition of Celtrak and allow us to expand our expertise in telematics, in addition to the many services it already provides for our small electric vehicles business today.
 Now I'd like to turn it over to Mike. 
Michael Lamach: Thank you, Sue. So on closing on Slide 19. We expect to deliver our 2017 plan for revenue growth, adjusted EPS, free cash flow, utilizing our business operating system and building a thriving, more valuable Ingersoll Rand.  To summarize, our Climate segment remains strong, led by our Commercial and Residential HVAC businesses, which are focused on growth areas with equipment, controls and service. Our Transport Refrigeration business is diverse and agile, and is executing their strategy and delivering against our high expectations in a challenging market. Our Industrial business is improving ahead of our expectations for growth and margin expansion.
 75% of our negative price versus cost spread in 2017 is expected to come from very strong growth in Asia, primarily China. We expect both the inflation and pricing headwinds to moderate heading into 2018. The balance of our markets should see moderating inflation in 2018 as well as they lap 2017 inflation. Nonetheless, we're accelerating our 2018 productivity initiatives to drive more direct control over margin expansion irrespective of market conditions.
 We're also on track to achieve the capital allocation priorities we laid out at the beginning of 2017. We expect to deploy roughly $1.9 billion in cash in the form of dividends, buyback and acquisitions. We have a tremendous depth of talented people and our culture remains as strong as ever. And taken together, I'm confident that with this formula, we'll continue to deliver top-tier financial and operating performance. 
 So with that, Sue and I will now be happy to take your questions. 
Operator: [Operator Instructions] And your first question comes from the line of Andrew Kaplowitz with Citi. 
Andrew Kaplowitz: Mike, you gave a lot of color on your price versus costs issues, and you talked about how most of the issues were emanating from China and the Middle East. I know you don't want to give detail on 2018, but as you tend to shift  the overall company, it's a little more of these longer cycle Applied HVAC orders, especially in international markets, how difficult do you think it'll be to get your arms around price versus cost? And what could you do specific on these regions where competition is significant and inflation is still reasonably high? 
Michael Lamach: Yes, Andy, I think maybe it's best for us to start with what is our China strategy historically and how we're evolving, and I think that will answer a lot of questions for you. First of all, China as a country and Asia as a region would have some of the highest operating margin that we have across the HVAC space, still today even this quarter. Historically, we've been a Tier 1 and Tier 2 city-focused company and largely on applied equipment and we've been very successful there. We've penetrated those markets with very high share and often Trane is the basis of design in many of these projects. What we've done over the last 2 years and you're seeing it this year in spades, is we've extended to Tier 3 and Tier 4 cities. We've also launched both localized, ducted and ductless unitary product nationally. We've penetrated, and are penetrating larger infrastructure project things, subways and airports and the electronics vertical specifically, which is Applied. And those 3 things in Tier 3, Tier 4 cities help drive Trane as a basis of design in those cities as well. It's been a formula we followed for years and it's been very successful for us. We know that, that grows a large service tail and we know that we grow margins by leveraging the SG&A and the manufacturing base around that. So to put it in context, the strategy has been very successful. We put a PGT in place about 2 years ago. We fully localized product portfolio in unitary, duct to ductless, we've been there and Applied for some time. We added 178 selling and marketing people onto the street over the last 12 months and 165 of those, we put in just since January so the project pipeline we're seeing in China is up 211%. So to speak for clarity, it's 3x larger than what it would have been last year at the same time around that pipeline. So year-to-date, we've seen bookings growth in unitary, it's actually been 40-plus percent. We've had mid-20s revenue growth in unitary. Unitary is now 25% of the mix that we have in equipment in China. We've also been able to grow the Applied business at twice the market rate year-to-date, and we're seeing excellent service growth. So again, it's become so successful that it really is, we classify it as price, but we're growing this accretively to the company and long term it's the right and most successful strategy that we know how to conduct. By the way, we would have a similar strategy, there are nuances to what we'll be doing in Europe or Latin America, but every region of the world, it's got a unique strategy, and in China, it's just been very successful for us. 
Andrew Kaplowitz: Mike, that's helpful color. And then just shifting gears to North American Commercial HVAC bookings, they were up low single digits against tough comp as you talk about it. I think it's good result compared to last quarter, but can you give us a little more color regarding what you're seeing in the overall North American HVAC market? There's been slowing like unitary. You talked about Applied HVAC improving there, do you still see a good runway in Applied HVAC, so North American Commercial HVAC bookings should be up low single digits or better moving forward? 
Michael Lamach: Yes, I would say first as a starting point, nothing has changed that would make us less bullish on the end markets than we were 5 years ago when we talked to everybody at Analyst Day. Our outlook continues to be very positive. We'll see contingent... 
Andrew Kaplowitz: 5 months ago. 
Michael Lamach: 5 months ago, thanks. Low single digit to mid-single digit growth in North America Commercial, and that we're going to drive share gains. Our project pipeline is actually stronger today than it was last year at the same time. We also think inflation in 2018 is fairly consistent with what we expected 5 months ago. We think it's going to be much more copper-related, which is much easier for us to set pricing and cost into the factories, about how to price and cover that as supposed to steel, which is very difficult than the longer lead items, so we think that, that will be more manageable for us. So staying with where we were 5 months ago, the CAGR of 4% to 4.5% over the 3-year period, 11% to 13% EPS growth over that period, still very much in the cards for us. We're very confident about that. We'll update that in the fourth quarter, but a lot of that's underpinned that we're seeing strength not only in North America, but across the globe and you're seeing that in even Latin America. As we pointed out, mid-teens growth rate in Latin America, finally seeing some recovery there and don't forget, that's an important market for us too. It's a $0.5 billion in revenue in the Climate space for us. 
Operator: Your next question comes from the line of Nigel Coe with Morgan Stanley. 
Nigel Coe: Mike, so I just wanted to go back and visit the price cost. So the 55 bps impact from Asia and Middle East you called out, so just given your comments on China, is that more accurately a mix impact as opposed to price cost impact? 
Michael Lamach: Yes, Nigel. It's a very specific definition we use and we say that if it's equipment coming out of a factory using the same machining and assembly processes, that we mark that as price. But clearly, what you're seeing in Tier 3 and Tier 4 cities, is even more decontented product and you're seeing that generally, those have done some of the local players that have been in that market. So it is mix more than it is price. But again, for consistency of what we've been talking about, we classify on the bridge as price just to keep it sort of straight for everybody at this point in time. But it is something that if you move past China, you look at say Res for example. On the Residential in North American business, we grew margins considerably, we grew share considerably. We're managing that. If you go to the balance of the Commercial businesses, excluding the Middle East and Asia, we're largely covering inflation there and of course, in the Industrial side, we're covering inflation there completely. So it's really isolated to this penetration we're seeing in China. Middle East is a bit different. Here you've got just this fact that you've got the same number of competitors fighting over fewer projects there, and so you're going to have a bit more competition there as well. In 2018, I think that we're clear that we've got moderating steel environment. We've got our copper environment that we can lock a good portion of it, understand at the beginning of the year. We feel like, generally speaking, it's a more manageable year in terms of the global material inflation, pricing scenario. And specific to Asia, it's really a matter of just getting to scale on some of these Tier 3, Tier 4 cities, getting additional service density in these cities and we know how to grow margins from there. So again, it's a long-term view towards China. I think we see an improvement in 2018 in China leverage. 
Nigel Coe: Right. Okay. But if you have to think about maybe just moving away from China because obviously that's -- it's kind of a good problem to have if you grow into that kind of rate. But if you think about North America, Europe, if you think about the pendulum of competition and pricing, is it becoming more competitive? Less competitive? About balanced? I mean, how do you say that pendulum is shifting? 
Michael Lamach: Yes, there's nothing structurally different about the competition in these markets. We've had high-teens growth before in Europe. We've had substantial growth in Europe over the last few years. It's really about new product introduction, around next-generation refrigerants, building out a controls portfolio, a wireless portfolio, double-digit growth there, more digital involvement in connecting our businesses remotely, more service feet on the street. So it's always been a competitive environment, but you're able to differentiate that business on total cost of ownership, which is 90% of that equation is not the initial cost, it's the energy efficiency and the maintenance and the reliability of the product over the long haul and nothing's has changed about our value proposition there at all. 
Susan Carter: And Nigel, it's Sue. Let me add a little bit of color on the pricing to that, I think, is important and it really doesn't come out in all of the detail that we've got. So we talked about that price is actually positive in both of the segments, which it is. The other piece of it is that the pricing that we have achieved in the year is actually higher than last year. Again, we know the inflationary pressures that we've got, but we have really been able to build positive pricing in the areas of the world, and like I said, in total, it is positive in a dollar terms on a year-over-year basis and it's fairly significant. And it does have the headwind in there on price from Asia. So I don't want anyone to think that the pricing is actually not strong and that we haven't in pricing in 2017, we actually have and it's actually stronger than it was in 2016. 
Nigel Coe: That's an important point. And just to follow on SG&A. You talked about G&A as an important area of productivity improvement. And Mike, in the PR, you talked about ramping up productivity to offset some of these price material pressures. If we delineate between the S and the G&A in that 5% inflation, are we starting to see the G&A good news coming through but it's being masked by some of these sales investments, so is that on the come? 
Michael Lamach: Yes. Relative to 2018, Nigel, I will tell you that we're going to generate $300 million plus in productivity like we do every year. It's going to be direct material. It's going to be PGT led with engineering product management and operations. It'll be both direct and indirect in that regard. I think what's going to be different for us is we spent a couple of quarters in excruciating detail, understanding the G&A and sort of benchmarks and ideas around reducing G&A across the company, which will show up strict on the G&A line over time between '18 -- 2018 and 2020 over a multiyear period, certainly starting in 2018 will have an impact. We also see opportunities with a lot of what we've done around automation and lean around things like warehouse consolidations and logistics opportunities that we are able to take advantage of. And again, we'll start to see those in 2018 as well. So what I'm saying is, in addition to the normal high levels of productivity that we expect in the operating system, there are a couple of projects that literally we're having to build program offices and [ secund ] very talented people into the program office to be able to drive what's likely to be hundreds of projects that roll up into these 2 bigger ideas, but I think that we got more leverage in '18, '19 and '20, from those things and I'm pretty excited about it. We talked about it at your conference in fact, and I'm glad you asked me the question. 
Operator: Your next question comes from the line of Steve Tusa with JPMorgan. 
C. Stephen Tusa: On the Commercial side, last quarter, you had mentioned the unitary markets on that slide as growing. What are you seeing in those markets and ahead of this kind of regulatory transition in 2018? Do you expect any kind of pre-buy? And then just what's your outlook for kind of the core unitary markets going forward? 
Michael Lamach: Yes, [indiscernible] growth again in North America, in the quarter, nice growth in the quarter there. So I don't anticipate a pre-buy there, Steve, per se. There could be some. I mean, it'd be great, if there was, but I don't -- we don't anticipate much of one at this point in time. But we are going to be sure that we build inventory and we're talking to customers about what is stackable and if in fact, they want to take that on. 
C. Stephen Tusa: Okay, great. And then in Residential, you guys also mentioned for the first time, channel, at least relative to last quarter. What do you -- I've heard from the Chunnel that you guys are kind of building out a bit of these --  the storefronts like Lennox has. I don't know if that's kind of an ongoing strategy that you've been just doing under the radar that you haven't talked about a lot. Maybe you can just give us some clarity on what exactly you're doing in the channel outside of the digital stuff that you've already mentioned and maybe different relative to last year, the year before that? 
Michael Lamach: Yes. Thanks, Steve. We've got about 260 part stores today. Generally speaking, we've got them where we want them. We were adding up 3 last year, but we've got the coverage we generally need, and we're finding opportunities to transition some of that digitally so it doesn't all have to be brick-and-mortar, but there's 260 brick-and-mortar stores that are out there. What you're finding on unitary, both res and commercial though, is there is this past year in particular, much more of a bias with customers replacing than repairing. So I do think that that's put a little bit of pressure on mix, but for the right reasons. You're really seeing people at this point in time doing wholesale replacements. 
Susan Carter: And Steve, I would also point out that in the context of our part stores, the 260 that Mike mentioned, that serves both Commercial and the Residential markets for us. And in fact, Commercial is a little heavier than Residential in terms of overall sales for those part stores. 
Michael Lamach: And as you know, Steve, a lot of contractors don't identify themselves as one or the other. 
Susan Carter: Right. 
Michael Lamach: So it makes sense that we just have one presence to our customers. 
C. Stephen Tusa: That makes sense. And how fast -- just one last question, how fast did those grow like over the last couple of years, what was the -- how many, I guess, did you add in 2016, just as a reference point? 
Michael Lamach: Yes, a dozen maybe. And we -- Steve, we've been working at that for a long time. It's not -- it just hasn't been something that you'd pull out of our company as being the large mover and shaker around the business, but they're an important part of the business and we've got the 260, the coverage we think we need. 
Operator: Your next question comes from the line of Rich Kwas with Wells Fargo Securities. 
Richard Kwas: Mike, wanted just to get your thoughts on as we -- big picture as we think about mix within Climate for next year? You've had very strong growth on the order side in China. You've talked about the price, the mix headwinds there, that brings lower growth than the developed markets. How does that shape up as we think about a normal incremental margin for Climate particularly in comparison to this year? Do we get -- do you think you can get back into that 25%, 30% range on a year-over-year basis with some of the initiatives you have in place and given the mix changing? 
Michael Lamach: Yes, I've no doubt, Rich, that the planning we'll do for 2018 will have us coming back to more normalized leverage in that business, and we've built a portfolio that should be agnostic to the product specifically. I mean, as you know, Applied's got a little lower margin, but great service base over a long period of time. And unitary gives you a little bit of a margin pop sooner, but there's enough happening in the world and enough growth in the world that I expect, again, good growth in 2018. The pipeline supports that. We think we've got a more manageable mix of inflation moving from steel to copper, easier to get on top of that from a pricing perspective. So -- and then your question related to what Nigel asked, if we can do a bit more around some of the rooftop consolidation, a bit more around the G&A leverage in the company, no doubt that will get back to where we've historically been. 
Richard Kwas: Okay. And then just on -- as we think about institutional, given you seem some -- to have some macro-wise, some moving numbers here with regard to forward indicator given Dodge and ABI, et cetera, but generally moving in the right direction, I know you emphasized no change versus 5 months ago earlier in the call, but just within the mix of the business, how do you think about that shaping up for this year in terms of higher growth rate, potentially for '18 versus '17 and impact on margin? I think you touched on Applied being lower margin, but is that meaningful enough to impact overall incrementals and how much -- what's the offset on the top line with regards to... 
Michael Lamach: Yes. So one of the issues, it's tough I know from an analyst and investor's perspective, is to take that Dodge or ABI data and all you can do is take it at face value, but I've always said that, that Dodge data would really account for about 50% of what we consider to be the market, the visible market would be what Dodge is reporting, but 50% of it, frankly, it's the good 50%, is the negotiated piece of that, the negotiated retrofit of the performance contracting side of that, and that's where we've got the added benefit of looking at a pipeline, and those pipelines are well done. It's a process that we've been running in the company for a long time. It's a high level of confidence about what gets reported in there and how we assign close rates and probability to those projects. And so when I look at what I see for 2018, I see a good runway and good projects. There's a number of very large projects that have the possibility of going in 2018 for us that we generally wouldn't put into a forecast, we generally wouldn't even put into our guidance, but similar to what happened in 2016 or at historic '17 a little bit for us, we're going to have a little bit of it in 2018 as well. These projects would range from $50 million to $200 million apiece and so they're going to move the numbers a great deal if, in fact, they hit. But excluding those, we see a strong pipeline, including those, is a very strong pipeline. 
Operator: Your next question comes from the line of Julian Mitchell with Crédit Suisse. 
Julian Mitchell: Maybe just switching to the Industrial segment for a change. So Compression Tech, you've had pretty good equipment orders growth in the last say, 3 quarters. The sales though have been down substantially in equipment year-to-date. So I just wondered within Compression Tech, how we think about the conversion of that order number into equipment revenues and when we should start to see the equipment revenue line accelerate? 
Michael Lamach: One really good data point for us that I'll tell you on this call, is that you know we're very indexed toward very large compressors. We're #1 in centrifugal compression technology in that space and of course, you know that, that carries 40% to 50% pull through on service along with that over time. And that has grown in the mid-20s, bookings growth during the year, and it grew in the mid-20s again in the third quarter. So we're feeling good about what that means for 2018 shipments and even beginning to formulate early 2019 shipments around some of the larger compressors. So that's an exciting change for us as it relates to backlog being built in large compressors and it's exciting as it relates to the kind of leverage we expect to see from that. 
Julian Mitchell: Understood. And then just circling back on the productivity and other inflation line in your margin bridge. Historically in years, when that have been good, it was about 100 basis point tailwinds, 2012 or 2014, 2015. When you're talking about more aggressive measures on productivity for next year, is that the type of tailwind you think that we should expect, about 100 bps from that line? 
Michael Lamach: Julian, without setting guides, being careful here. That's sort of the general theme about how we think about setting plans would be to have about 100 bps of positive spread there. And then I take you back to my boxer analogy, that works great sitting in November and December and then as you get in the ring in January and you take a punch to figure out how to use all the tools at your disposal to win the fight. So that would be our sort of going in idea, and then what we want to make sure we're doing is we're putting some additional levers in place around ideas like rooftop consolidation and G&A that would be additive to that or in the event that inflation or pricing wouldn't behave the way we expect it to, we've got some additional countermeasures in place. 
Operator: Your next question comes from the line of Jeff  Sprague with Vertical Research. 
Jeffrey Sprague: Mike, I want to come back just a little bit again to China, and just the maturation of this Tier 3 and Tier 4 strategy, just a couple of points I'm interested in. Where are you on product development for those companies -- for those cities? I'm sorry. You mentioned decontenting product to serve those markets. Do you have a product refresh or product redesign that needs to be -- needs to happen to kind of effectively address this? And also I'm just wondering, you talked about the opportunity for service capture, what kind of service capture are you actually seeing in those markets? 
Michael Lamach: Yes. And to be clear, Jeff, we've got all of the product now in the marketplace, both ducted -- ductless and applied and controls in the marketplace, so we're fully functional there. What will happen is, you'll get certain feature sets that are often specified by others into Tier 3, Tier 4 cities. You go out and you try to explain the value and the total cost of ownership around time and over time, we're pretty successful with that. But initially, you tend to find feature sets that carry lower margins than perhaps something you'd find in Beijing or Shanghai, typically. In fact, the product development going on now around the unitary space is to take the unitary product that we have and actually go the other way with that, which is higher efficiency unitary coming back into Tier 1, Tier 2 cities around that. And again, this is all in the Commercial space, not on the Residential space at all. So it's a very thoughtful strategy over time about putting manufacturing, product management, operations in place, product road teams, feet on the street, incrementally quite a few as a result of all this. And then excellent execution on the ground by the team there. To the point where you just don't forecast 40-plus-percent growth rates as you're doing your plans. You set goals and objectives around those sorts of things, but you don't sort of plan those things. What the team has generated sort of -- they've been on top of even those stretch goals, which to me is really solid execution. In the long run, it's building out a strong base. And -- it's not changed that half of the world's chillers, the last 5 years have gone in China, half the world's chillers are going to go into China in the next 5 years, and it makes sense like it does everywhere for us to have a full unitary, applied, controls, service and digital footprint and for that to be direct on the Commercial side, and that's what we're doing. 
Jeffrey Sprague: And on the service capture side of things? How's that playing out? 
Michael Lamach: Yes, when I look back to 2008 and 2009, it would have been in that 10% range, compare that to North America or Western Europe, 50%. Today, it's in that 20%, 25% range and it will continue to move up in over the next say 5 to 10 years, look like Western Europe and North America, no doubt about that. The equipment gets more sophisticated. Customer's expectations around energy efficiency -- around sustainability goals in China, much more stringent than they have been in the past. All those things really lead more toward the OEM having an advantage in maintaining the equipment. 
Jeffrey Sprague: How much actual physical capacity are you needing to add to accomplish this? I mean there's certainly concerns that there's just excess manufacturing capacity in this space. Clearly, you're winning orders and growing your business and therefore, may need some, but how do you balance that risk reward? 
Michael Lamach: We don't have a need to build additional factories in Asia. We've got a substantial footprint today and we continue to lean it out. So lines are running faster in less space. And the more scale we get, the faster we can run the lines and hypothetically, the less space per dollar of margin we're going to need. So I don't have in the plans us needing to build a factory in China at any point in the future. 
Operator: Your next question comes from the line of Joe Ritchie with Goldman Sachs. 
Joseph Ritchie: So maybe going back to price for a second. We heard from Watsco this morning that some of its vendors were starting to advertise pricing increases in the fourth quarter. Are you guys trying to pull forward price in 4Q or should we think about that as being more like typical, like 1Q type event? 
Susan Carter: No. I mean, Joe, I think we follow our normal cadence, some of which might be in the fourth quarter, some in the first quarter, but there's no discussion that we're having about pulling any of that forward on a different schedule than normal. 
Michael Lamach: And Joe, just to confirm, price in res is exceeding material inflation and we grew margins again in the quarter. The hurricane impact to us was not in the res space. The res space, we were able to move inventory into the market. We're well positioned there. The impact for us was really losing 3 weeks of time in Puerto Rico at the manufacturing facility and there, just to skip to it, it wasn't the factory itself. We had the factory up and running with around temporary power with plenty of diesel, plenty of water, it was the fact that it was so difficult for our employees in the market that many of them lost their homes, lost everything, were just unable to come to work or didn't have the means to come to work to be able to build products. We're back up. We've been back up for a couple of weeks. We're running at rate. We haven't missed a beat in terms of customers there. We plan to head to build for hurricanes in advance and so we had stock there, just waiting for the ports to open up a little bit to ship them back out, but just to skip to that, it really wasn't in the res business for us, it was largely in the Thermo King business. 
Joseph Ritchie: Got it. That's helpful color, Mike. Maybe my follow up here, and this is just perhaps refreshing my memory, but I thought you guys were targeting investments in the second half of the year that were roughly 2x that of the first half? So we were thinking it was going to be closer to like call it $40 million of spend in the second half. I think you did about $11 million this quarter? So should we think about the fourth quarter as being pretty highly loaded with an uptick in investments? Or are you pulling back on spend a little bit? 
Susan Carter: Well, Joe, so that's an interesting area. We are pulling back a little bit, but let me tell you how that's actually coming about because this is not, Mike and I going out and saying, we need to cut investments. So I would expect the fourth quarter to be a little higher than the third quarter, but nowhere near what the math would tell you that you would pull in, it's not 30, by any stretch. But our businesses, as we get closer to actually going through the projects that are in investments, and again, our investments are mostly new product development, channel and some IT type of investments, are actually looking at the projects and the return on those projects and they're coming to the conclusion that the returns are not at the expectations that they have and we have as a company. And so they're the ones pulling them off the table and perhaps going back to do some additional work on those business cases and maybe they'll show up again in 2018, but it's really SBU-driven, pulling down those investments in the back half of the year and we're very supportive of that for those reasons. 
Operator: Your next question comes from the line of Andrew Obin with Bank of America Merrill Lynch. 
Andrew Obin: Just a question on sort of management succession. You've had some recent changes at the top. I think some have been scheduled like Didier and Robert, but I think Gary Michel was probably not expected. Can you just tell us as to what this means about sort of operational direction of the company, this transition at the top? And what's happening with Gary's role? 
Michael Lamach: Yes. Thank you, Andy. It's a good probably, opportunity to step back and talk about all the changes, some of which you mentioned, some that they'll be able to catch-up on. Robert and Didier have been great partners to this company for a long time, both had plans for 2018 retirements. We began to put pen to paper in January '17, and we've got Robert who will step out in January of '18 and Didier in September of '18, so we're able to benefit from their involvement for some time yet. At that point, we began to plan and in early September, or the 5th of September, we actually appointed Dave Regnery as the EVP combining those 2 roles. And really what's happened here is we've had very strong, consistent leadership at the SPU level for now a long time. We're not at the same place we were 5 years ago and so the role has changed and I've got a lot of confidence in Dave and Dave's capability of 30 years with the company, and obviously, doing a great job with the HVAC business in North America and EMEA, lived in different parts of the world and managed about every part of the company at one point or another. At the same time, we put Dave in that role, we moved Donny Simmons into Dave's role. Now Donny, you all would have met at our Investor Day, Donny was leading fluid material, handling Power Tools. He led a large part of the Commercial North American and Trane organization before that. Before that, he was in finance, both the Climate segment and going all the way back to TK, so Donny stepped into that role. A couple of weeks later, Gary had announced his intent to retire from the company at the end of September. Concurrent with Gary's announcement, we appointed Jason Bingham. Jason is the President for HVAC and supply. He also spoke at the analyst conference. If you recall, Jason was running our Controls Contracting and Digital business. It's been built into $1 billion plus business for us over time and he's got a 26-year tenure with the company going back to 1991, strong commercial, strong residential background. So he's a fish in water, really in the res business. And then we had also the planned retirement of Marc Dufour. Marc runs our Club Car business. And Marc is going to retire in January of '18. So we announced Marc's retirement around the same time, [indiscernible] with us over that period of time. And Mark Wagner, who you would have all again met at [indiscernible]  Conference. Mark was one of the speakers there. He's running Club Car for us. So it's really leveraging very strong internal leadership talent, very good communication by the senior executives in the company around their succession plans and timing, the tremendous willingness for them to work with us around dates so that it could work for everybody and have good continuity. We're very excited about the changes that we've got and these guys have been in place now for a couple of months, a good month at this point, and it's pretty exciting. 
Andrew Obin: And just a follow-up question on cost, and I apologize I'm sort of beating the dead horse here. Just so we have slightly lower spend in the quarter following lower investment spend that we're planning on. I would imagine that China and Middle East strategy, you've had that for a while, so I'm just still sort of a little bit missing why there was this earnings shortfall? Is it because sort of China and Middle East ended up being more expensive than we expected? Or is there something else on top of that below the surface that was weaker than we expect? And I apologize if I missed it. 
Michael Lamach: Yes. I mean, if I put it really simply, I would say that the Tier 3, Tier 4 strategy for some of the larger infrastructure projects are carrying about 5 points lower gross margin, let's say than the Tier 1, Tier 2 city historical applied market. And the fact that we've grown that at a rate twice the rate of the other business just put margin mix pressure there. And then, again, adding 178 people into the mix, it takes a while for those people to ramp up, but again, 40-plus-percent growth rate serves the ramping up pretty quickly. 
Susan Carter: And the other element, Andrew, is that Asia, China specifically, has had material inflation that has escalated throughout the year. So when we talk about that being persistent, it is very persistent. In fact, if I looked at where biggest impact occurs, it's our Commercial HVAC in North America followed by Asia-Pacific, followed by Residential. So they've also had that headwind that was bigger than what we thought earlier in the year and that also contributes to that dynamic. 
Operator: Our last question comes from the line of Jeff Hammond with KeyBanc Capital Markets. 
James Picariello: This is James Picariello, actually. So just on M&A, you mentioned $200 million commitment year-to-date. It looks like only $60 million has actually been spent. So is it safe to assume that the telematics asset represents most of that difference? And then also, how do you bridge to this $400 million to $500 million range? What's the timing between and actual agreement and close of a deal? So just trying to get a sense there. 
Michael Lamach: Yes, James, I think we closed 4 transactions or will close 4 transactions by the end of the month. So I wouldn't assume it all to be in the telematics space, so that would have been the larger of the group, but a couple of hundred million is really laid out, and we'll have that closed by the end of the month. The balance of that is our best guess of stuff in flight, of which I would say between $50 million and $200 million, there's a number of things in flight there that the timing could be off slightly, it could be a quarter off here or there. But those are lining up nicely as well too, and it ranges between channel and technology being added to the core portfolio. 
James Picariello: Okay. And then just last one on Residential HVAC replacement opportunity. How has -- how have prior storms really pulled through that demand? And typically over what time frame? Just trying to get your early assessment of what the opportunity could be next year and maybe even beyond that? 
Michael Lamach: Yes, it's a -- Commercial is a little easier to predict than res. Commercial, you could predict a great rental boom and followed by an immediate service requirement and we poured people into those locations to be able to provide service from out of state. And then depending on the criticality of what it is that you're conditioning space for those things really quickly. Res, you get everything between the tip of the tail, which is people with insurance, maybe a bit more fluent who are able to step in very quickly with or without insurance and replace, you've got the body of the bell curve, which is focused waiting for insurance that can take some time, the process and it's probably at this point, a 2018 event they should think about that. And they've got sort of other part of the bell curve, people without insurance that may not be able to step in and buy that as well. So that will take 1 to 3 years before that happens. So generally over 1 or 2 years, you see growth as a result of this so the net of it is usually growth, but it usually takes 1 to 2 years for it to show up on the res side -- on that res side, that is; on the commercial side, it's quicker. 
Operator: I will now turn the call over to Mr. Zac Nagle for closing remarks. 
Zac Nagle: Great. Thank you. I'd like to thank everyone for joining today's call. As usual, we'll be around to take any questions that you may have today or over the coming days. And we look forward to see many of you on the road in the coming weeks and into 2018. Thank you. 
Operator: This concludes today's conference call. You may now disconnect.